Operator: Greetings. And welcome to the Professional Diversity Network's Second Quarter 2014 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation (Operator Instructions) As a reminder, this conference is being recorded. I'd like to remind listeners that during the call certain information presented contain forward-looking statements. These statements are based on management's current expectations and are subject to risks, uncertainties and assumption. Potential risk and uncertainties that could cause the company's business and financial results to differ materially from these forward looking statements are described in the company's periodic reports filed with the SEC from time to time. All information discussed on this call as of today, August 14th and Professional Diversity Network does not intend and undertakes no duty to update future events or circumstances. It is now my pleasure to introduce your host, Mr. Jim Kirsch, CEO. Thank you, Mr. Kirsch. You may begin.
Jim Kirsch: Thank you, Operator. With me today are Rudy Martinez, founder of our flagship Professional Networking Site, iHispano.com; David Mecklenburger, our Chief Financial Officer; Ms. Maribel De la Rosa, our Vice President of Business Development; and Mr. Kevin Williams, our Marketing and Communications Leader. This afternoon we will discuss our progress from the second quarter of 2014 and will then -- and I will then turn it over to our CFO for a summary of our financial results. Finally we’ll open the call for questions. As always, after our call today, David and I will be available for one-on-one phone meetings. Second quarter of 2014 was a period where we exceeded our internal sales plan. We identified a meaningful acquisition and enhanced our leadership in diversity recruitment with proprietary technology to assist people with disabilities to process online applications. I’m pleased to announce that our direct sales bookings increased 663% year-over-year, which was the fourth consecutive quarterly increase. Direct sales booked were $802,000 for the quarter surpassing the $500,000 of revenue that’s generated by our LinkedIn contracted ended last quarter. Our internal sales team brought on new clients, many of whom were formally restricted to us. I would like to discuss some of the sales development highlights that occurred in our most recent quarter and to begin those highlights. I'd like to turn it over to Kevin, who will discuss our diversity recruitment symposium outreach events. Kevin?
Kevin Williams: Good afternoon, everyone. In -- on July 15th of last month, we executed a some strategies for Diversity Summit in Washington, DC, with several government leaders from the following organizations NASA, FDA, OMT and from Veteran VA. The focus of the summit was outlined the Executive Order 13583, which was established to for the government initiative to promote diversity inclusion in the Federal workforce. Along with that we held a number of diversity and inclusion roundtables that also included diversity chiefs from around the country. So recent months of the second quarter we engage with over 250 leaders of diversity recruitment throughout the nation and events that were held in Washington, DC, as Kevin just mentioned, Boston, Chicago and New York City. I'm pleased to announce that that has resulted in some significant win in the second quarter and a greatly increased pipeline in the quarters ahead. Some of those highlights of the wins in the second quarter are Rolls-Royce and Novartis. We are very excited about the work of our new Government Solutions Group led by Joyce Ceconi who is based in Washington, DC, and Joyce and her team were responsible for bringing in new units of the Federal Government on to the diversity recruitment platform that we operate including the Consumer Financial Protection Bureau. In recent months, United States government has implemented the new OFCCP Regulations, which have added intensified interest for our products. We recently exhibited at the National NILG conference where there was over 1,000 attendees who are our potential customer base. The reaction to our product was very strong and we had an exceptionally strong reception for our new ADI AudioEye technology. This new technology is the first time that any company has been able to provide in cloud-based SaaS solution for companies to process applications online for individuals with disabilities, specifically those who have visual impairments, audio impairments or who are artistic or illiterate. This technology attaches to a companies career center with a single line of JavaScript code which means the company does not have do programming and in fact, any of their internal securities. It for the first time provides the ability for someone who has an impairment to be able to process an application in real-time without requiring them to purchase expensive and often not well performing screen reading technology. We had a ton of excitement in Washington, DC, at NILG over this technology. We are already following up with significant meetings with Fortune 100 companies as a result of that conference. The new OFCCP regulations have impacted not only individuals with disabilities but veterans, women and people with color, and we are pleased that the market reaction to our approach which is unique has been very favorable. Finally, I want to mention that we announced on July 14th of this year that we entered into a definitive merger agreement for the acquisition of the National Association of Professional Women. NAPW is a privately-owned company that generated $19.7 million of revenue last year with over $2.3 million operating cash flow. Without getting into any great detail, I would like to mention some qualitative highlights of this compelling combination. The Professional Diversity Network will provide members of NAPW with career opportunities, enhanced online networking technology, and expanded programs for local, regional and national chapter meetings and conferences. While the Professional Diversity Network will have a meaningful impact on the value proposition of NAPW members, NAPW will provide an extremely valuable talent pool of educated, experienced, engage professional women that we can match with our employer clients that are seeking to hire such experiments talent. So we really have a win-win situation with the National Association of Professional Women, because the qualitative aspects are very strong in addition to the financial components. One of the things that was of great interest to us was our ability to grow NAPW using the assets that we have at Professional Diversity Network. As you may recall, we acquired a company called Resunate that is leading technology for semantic matching of career opportunities online and professional networking. We will be deploying this technology to -- and to enhance the online networking experience of the NAPW members, something that we feel will have a tremendous positive impact on the membership experience. The second acquisition that we made was PSI, an events company that produces events, career events and professional networking events around the country. This group of events specialists both on the sales side and the production side will enable us to expand the NAPW events at the chapter level, at the regional level and at the national level. Our current plans are to empower chapter events to occur at over 300 NAPW chapters on a monthly basis. We are planning to do regional clustered events which will be new for NAPW that over 25 clusters around the country, where we will be inviting in our recruitment partners to participate in these events and connect with a very valuable pipeline of talent and also to provide programming that enables the members to network with each other and promote their own business or service. We will be holding these events on a regional level, once per quarter and as I said 25 regions. We are also very thrilled about our early integration planning with NAPW. We have developed an intensive integration scope and plan in conjunction with the leadership at NAPW. We will be working on finalizing each business units’ operational plans, goals and budgets in the coming days and weeks. We fully anticipate to have our integration plans complete and in a detailed manner prior to closing. While we are excited about our achievements in the second quarter and our growth opportunities ahead, we remain focused on the discipline of the efficiency and cost controls, investing our capital to organically grow and to accelerate our growth via strategic acquisitions. Before I turn the call over to David, we will briefly highlight the quarter’s financials. I want to take a moment to thank and recognize the women and men of the United States armed forces, both active military and veterans. Professional Diversity Network, in conjunction, with many of our partners including the VFW, VetJobs and National Able are investing in new tools such as the new military translation tool that will assist our American heroes in securing high-quality profession, when they leave the service with employers who we assist in hiring our heroes. David?
David Mecklenburger: Thank you, Jim and thanks everyone who joined the call today. I’m going to speak to some of the key points in our financials from the second quarter and how we are tracking our strategy for long-term financial success as Jim just outlined. Our total GAAP recognized revenues were $1,032,000 for the quarter which is 5.7% increase from $977,000 in the same period the previous year. So it’s attributable primarily to increase revenue from our direct sales. I’d like to point out that we achieved this year-over-year growth in spite of this being the first quarter following the termination of our LinkedIn agreement, which had provided us with $500,000 of revenue in past quarters. The revenue recognized from direct sales was $350,000 in the quarter, $145,000 from our career events division, $90,000 from our e-commerce sales and $447,000 from our consumer advertising, consumer marketing solutions. Our direct sales booking revenues in the second quarter increased 663% to $802,000 from $105,000 in same period one-year prior. $225,000 of that growth in bookings came from our events division that have been acquired in the third quarter of last year. And as Jim pointed out, this was our fourth consecutive quarter that we grew direct sales bookings.00 PDN reported a comprehensive net loss for the fiscal second quarter 2014 of $488,000 as compared to the loss of 4142,000 in the previous year second quarter. This was primarily the result of costs associated with building a direct sales force. And also costs directly related to our career events division, which typically generates lower gross profit margins than our online direct sales business. In addition in the second quarter of 2013, the company recognized the benefit of over $200,000 due to the decrease in fair value of its outstanding warrant liabilities. This was compared with an increase of $30,000 of those warrant liabilities in the same period of 2014. As of June 30th of this year, our total assets were $22,214,000, which was an increase from $22,020,000 at December 31, 2013. And this was a result of a combination of our operating losses incurred in the first six months offset by capitalization of the proprietary software technology licenses we entered into at the end of the second quarter of this year. Jim, I’ll hand it back to you?
Jim Kirsch: Thanks, David. I appreciate your summary results. And operator, we’ll open it up to questions from the callers.
Operator: Thank you. (Operator Instruction) our first question is from Andrew D’Silva of Merriman Capital. Please go ahead. Mr. D’Silva your line is live.
Andrew D’silva - Merriman Capital: Sorry. I was on mute. I had put you on mute for a second. Good afternoon and again I just want to say great quarter. I just have a couple quick questions related to NAPW? First how do you -- what do you consider them? Do you consider them as social networking company? And if so, it seems like you got a pretty good multiple for the merger? If you can explain the rationale behind why the terms are so good and if there were any synergies, we should expect for NAPW through the merger, primarily related to improved subscriber attrition metrics?
Jim Kirsch: Okay. So, Andrew, we don't want to get into great detail about the merger as you may know we have submitted to the SEC for approval and they are going through their process now. I will just say in some summary fashion that we had a mutual belief between the leadership of NAPW and the leadership of the Professional Diversity Network, that this is one of those special mergers that we all look for two plus two equals eight. And I say that because there's number of items or our investments that NAPW had scope to make in two those major investments, were one in technology because much of NAPW was about member-to-member experience at the chapter level with over 300 chapters. But some of it is and online experience and they were investigating very significant plans to increase their online networking capabilities. It is more than coincidental that our investment can resonate our build for mobile technology, our ability to match member to member, our ability to match member to career opportunities, it’s something that is extraordinary benefit to the future of NAPW and it’s members. So the technology that we have been investing in for years and refining that has generated so, much valuing in activity for us online will now be integrated with the NAPW experience. So the other half of NAPW is the offline experience and the 300 chapters do meet on a monthly basis. We plan on working with our partners in NAPW to add a regional clustered approach where we are going to have a version of their amazing national chapter event but at a regional level at approximately 25 regions. And we will be offering to our clients who participate in our events business, the opportunity to connect with those members and therefore create a new revenue stream for NAPW, which traditionally had not monetized that activity before. But I think, most important what we saw was that our relationships with employers and our connectivity with recruiters [Technical Difficulty] women is such an important quality that we can bring to the members of NAPW. And by enhancing that membership value, that membership experience, we believe in conjunction with our partners, future partners with NAPW that we’ll be able to both increase the amount of new members that come in and we will also increase retention rates. Finally, long term, we’ll be testing doing physical chapters in NAPW type membership opportunities for our other verticals, including Veterans, Hispanic community, African-American community and so on and so forth.
Andrew D’silva - Merriman Capital: Okay, great. That makes a lot of sense and gives some clarity to that. Do you feel like you have the bandwidth right now if everything goes well for your events division to be able to really run that many events on an annual basis?
Jim Kirsch: Well, I can give you, I think, more informed answer about that because in the last 45 or 30 or 45 days, we’ve been highly engaged in integration conversations with NAPW. And our events team and their events team have coalesced and are pretty far along in a plan that supports what I’ve outlined. The events business that we bought was built and has done regional events for over 25 years. These are events in Pittsburg for the National Urban League or in the Indianapolis for the Black Data Processors’ Association. Well, Andrew, this is really in the wheelhouse of that business that we bought. And it gives us the ability to put more products through that engine. And while we do believe or we do know that there will be some additional resources required to frame the structure, the expertise is in place for us to achieve those goals in the first year of operation.
Andrew D’silva - Merriman Capital: Great. Thanks for the time and good job this quarter.
Jim Kirsch: Thank you.
Operator: Thank you. (Operator Instructions) Okay, everyone, it doesn’t appear that we have any further questions at this time. I would like to turn the floor back over to management for any closing remarks.
Jim Kirsch: Thank you. I want to reiterate I just want to make sure if anybody does have a question during my closing remarks, we’ll be happy to put you back into the queue. Also David and I will be available after this call for one-on-one conversations today, Friday and then the days and week ahead as always. I want to tell you how much we appreciate your interest and investment in our company. I also would like to share with you the genuine excitement that we have at the Professional Diversity Network about one, the adoption of our product, our core existing product by corporate America and the conversations that we’re currently engaged in, which are giving us a tremendous amount of optimism for the future. And two, this amazing opportunity that we have to work with the professionals at NAPW and to serve the women in the organization. We believe that this is a very strategic fit for our company and for NAPW. We’re exceedingly excited about this opportunity in this combination. It meets our strategic goals of providing value to diverse Americans and also providing value to our stockholders. I want to thank you very much for your faith in our company and for you joining the call today. And we look forward to future calls with our new partners joining us from NAPW. Thank you very much and have a good afternoon.
Operator: Thank you. Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time and thank you for your participation.